Operator: Good day and thank you for standing by. Welcome to the MediaAlpha Second Quarter 2021 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator instructions] And pleased be advised that the conference is being recorded. [Operator instructions] I would like to hand the conference over to your speaker today Mr. Denise Garcia, Investor Relations. Please, go ahead. 
Denise Garcia: Thank you, Sarah. Our discussion today will include forward-looking statements about our outlook for future financial results, including our financial guidance for the third quarter and the full year 2021, which are based on assumptions, forecasts, expectations and information currently available to management. These forward-looking statements are subject to risks and uncertainties that could cause future results or events to differ materially from today's guidance. Please refer to the earnings release we filed with the SEC on Form 8-K and the shareholder letter we posted to the Investor Relations section of our website today, for a fuller explanation of those risks and uncertainties and the limits applicable to forward-looking statements. MediaAlpha will routinely post information that may be important to investors on our IR website, investors.mediaalpha.com and we use this website address as a means of disclosing material information to the public in a broad non-exclusionary manner for purposes of the SEC's regulation fair disclosure. In addition, we will be referring to certain actual and projected financial metrics of MediaAlpha, which are non-GAAP financial measures. These metrics include adjusted EBITDA, contribution and contribution margin and we present them in order to supplement your understanding and assessment of our financial performance. Non-GAAP measures should not be considered a substitute for or superior to financial measures calculated in accordance with GAAP. The most directly comparable GAAP measures, as well as reconciliations of the non-GAAP measures to those GAAP measures are available in our second quarter earnings release. As a reminder, we published a shareholder letter on our IR website that we'll refer to during this Q&A session. Now, I'll turn the call over to Steve for a few introductory remarks before opening the call to your questions. Go ahead, Steve. 
Steven Yi: Thanks, Denise. Hi, everyone. We're pleased to report yet another strong quarter. Our top line transaction value in the second quarter of 2021 was $256.5 million, an increase of 46% year-over-year. We continue to focus on executing against a large market opportunity and increasing our share of wallet with some of the largest advertisers in the world. Our performance was driven by strength across all of our insurance verticals, as carriers continue to move more of their customer acquisition investments online. As the largest digital customer acquisition platform in the insurance industry, we have an unmatched level of scale. That scale, combined with our data science capabilities, enables us to innovate and drive significant business value for our partners, which in turn drives our market share growth as measured by transaction value. As we continue to deepen our relationships with our carrier partners through an increasing number of technology integration, we unlock opportunities for long-term growth, including, as outlined in our shareholder letter, a $1 billion-plus incremental market opportunity in our efforts to work with major insurance carriers and supply partners. We have a tremendous runway for growth, as we barely scratched the surface of our potential and areas of innovation and I look forward to sharing more on our progress. With that, we'll open it up to your questions.
Operator: [Operator Instructions] First question comes from the line of Cory Carpenter from JPMorgan. Your line is open.
Cory Carpenter: Hi, guys. Thanks for the question. I had two, probably both for you Steve. First, just hoping you could expand a bit on the comments in the letter you made around the changes you're seeing in P&C carrier spend and how that's informing your second half guide. And then, second, just hoping for an update on MediaAlpha for Agents. Thanks.
Steven Yi: Thanks, Cory. So, I would say -- start off by saying that, I think, it's still very early. And in fact too early to say really what the impact of some of the profitability concerns that we're seeing in the industry will be on our business. So, I mean, really from an industry perspective, I think it's still unclear whether or not this is the case of a certain number of carriers or an isolated number of carriers requiring some minor course corrections, as driving behavior starts to return to more normal levels. And it's happening either at a faster rate, than they were expecting or just in different patterns than what they were expecting. Or, whether based on, what we talked about in the shareholder letter, this could be the start of a broader market trend, right? For us the direct carrier feedback that we've gotten has been mixed. It's only been a couple of carriers who really slowed, their investment growth or indicated that they may, while the vast majority of others have actually been adding to their budgets and actually telling us that they definitely plan to maintain, a strong growth posture for the remainder of the year. The reason that we highlighted this in our shareholder letter was but that's a newly public company. We just wanted to educate our investors. And talk more about the cyclicality in the industry, as we did about seasonality. And to be transparent about, some of the early profitability signals that we have been getting from some of our carrier partners. And I do want to reiterate one thing that we said in the letter too, which is that, we've been in this space for now going on 11 years. So we've grown through and increased our market share through these broader market cycles in the past. And we expect to be able to continue to do so again, right? And our confidence is based on, the continued secular shift to, online direct distribution. The direct measurability of the customer acquisition investments in our ecosystem, which lead us to believe, based on feedback from our carrier partners as well, that if there is a pullback in customer acquisition spend that a channel like ours will be one of the last places where an insurance carrier would pullback. And, just the increasingly diverse mix of demand and supply partners that we have in our ecosystem, versus the past when we went through this cycle a few years ago. So your second question was about agents and that initiative. We're continuing to invest in product innovation there and really building a great agent team. And as we've talked about in the past, we're not expecting a material contribution from this business segment for the remainder of this year. Really just we're focused on building a strong foundation for this part of our business to make a material contribution to our growth in 2022.
Cory Carpenter: Thank you. I appreciate it.
Tigran Sinanyan: And Cory -- to your first question, this is Tigran, just to add a little bit of color to the diversity point that Steve made. Today, in Q2 of 2021, we have greater diversity on both the demand side of the ecosystem and the supply side. So, on the demand side, we had two customers that together accounted for 28% of our revenue. A year ago a single customer accounted for 28% of our revenue. And the same is true on the supply side, where no single supplier accounted for more than 10% of our revenue. A year ago two suppliers accounted for roughly 23%. And so it's really great to see the diversity and mix on both sides of the marketplace.
Cory Carpenter: Okay. Thank you.
Tigran Sinanyan: Thanks, Cory.
Operator: Your next question comes from the line of Michael Graham from Canaccord. Your line is open.
Michael Graham: Hey. Thanks for taking my question. It was great to get all the data in the shareholder letter, regarding the migration of demand partners to also become supply partners. I think that's exciting. I had two questions about that. The first one is you mentioned that you have 35 carriers that have done the data integration necessary to become supply partners. What do you think the roadmap is to -- I don't know what percentage of your customers that is but what do you think the roadmap is to get the rest of those people on board? And then, you mentioned that some of those carriers were able to offset as much as 30% of their, spend by becoming supply partners. And I'm just wondering, what is a typical time frame for when a carrier becomes a supply partner for the first time. How long does it take them to kind of ramp up to that level?
Steven Yi : Yeah. Thanks for that question, Michael. I wish I could give you a clear answer on this one. I mean, the reality is that, insurance companies they tend to act very thoughtfully and deliberately when they're adopting new programs like this. Like extending the partnership and not just becoming a buyer or an advertiser demand partner in a, ecosystem, but also becoming an intelligent seller or a supply partner in our ecosystem. And so, the 35 partners that we have, or 35-plus insurance carriers that we work with in this capacity, they're at different levels of adoption. And as we've mentioned in the past, I believe, right, the easier parts are in getting these carriers to serve comparison listings, when they don't have a policy to sell to a consumer. Now, the justifiable concern right that insurance companies typically have is that, if they want to expand beyond this type of an implementation, right, which is really required to achieve that metric that benchmark metric that you mentioned the ability to offset 25%, 30%, 35% of your customer acquisition costs through an intelligent program like this. The potential for losing policy sales by showing comparison options to insurance shoppers on their site has to be addressed and that's really where our data science capabilities come in. The data science is what enables us to work with insurance carriers to help identify those shoppers, who are non-converting or have a very, very low likelihood of converting into a policy. And so it's really about bringing the data science capabilities to bear to help address the concerns that carriers have about adopting this program in full. And displaying it on their quote pages, they show their rate to insurance shoppers, but then also intelligently in certain cases also show comparison listings, because the data science tells them that that consumer is really just not going to buy a policy from them at that time. And so in terms of the adoption to get to that level, I'll put out a number and say that it takes two to three years in our partnerships with insurance carriers to really get to that level. But as I started off, very hard to predict because insurance companies, if we've learned anything about them is that they tend to move at their own pace.
Michael Graham: Yeah. Thanks for that. I appreciate the deal around that feature, I think it's really helpful.
Steven Yi: Sure. Thanks, Michael.
Operator: [Operator Instructions] Your next question comes from the line of Meyer Shields from KBW. Your line is open.
Meyer Shields: Thanks. I guess when we look back in the insurance industry, we had a significant increase in claims frequency in 2015 and 2016 and a lot of companies were actually pretty late in recognizing that. I was wondering, from your perspective, do you have an idea of -- do you have any insight into how well -- the companies that are increasing their spend how aware they are of the potential worsening frequency or sustained severity or other issues that are leading some companies to pull back?
Steven Yi: Yeah, that's a great question. From -- I think every carrier is pretty well aware of it. I think that -- it's really, I mean, the fact that people are driving more and then getting into more accidents and that severity is going up, I mean, those aren't new things, right? I mean, everyone was expecting that. It's really about what is it coming back in the manner that was forecast three months ago or six months ago, by most of these major insurance companies. And in our direct discussions with dozens of P&C insurance carriers that feedback is mixed. And certainly for some -- and you've seen this in the news that it's coming back in a way that they hadn't predicted and that's requiring them to actually make some adjustments to their rate i.e. increase their prices to cover that. But we actually get a lot of feedback from our insurance carriers saying that, they're monitoring this very carefully. They also understand the inherent uncertainty of this because the economy has never come back from something like a COVID-related pandemic-related shutdown, right? And so it's very hard to predict exactly, how driving patterns are going to come back. But then what we're hearing from, actually the majority of our carriers is that, it's not coming back in a way that, they hadn't anticipated, which in turn I think is leading to them saying that, they want to continue to grow for the remainder of the year.
Meyer Shields: Okay. That's very helpful. Thank you. Second question and I don't know how comfortable you are talking about what we're seeing in the third quarter. But with all of the -- I guess concern about the Delta variant et cetera, is that impacting the other vertical? I'm thinking obviously specifically about travel.
Steven Yi: I think it is, and I think it will. The thing to note about travel is that that business has been growing for us as we highlighted. Certainly, it's still not back to pre-COVID levels for us or pre-pandemic levels for us. And a couple of things were driving that even before concerns about the Delta variant, which is that international travel really hadn't come back. And business travel really hadn't come back. And the reasons that's important, even though, I think leisure domestic travel has largely rebounded is that international and business travel are very high-margin areas for the travel industry. And so the feedback that we're getting from CMOs of the different travel companies that, we're working with is that, until those two areas come back most in the travel industry will be conservative in terms of the aggressiveness with, which they're going to advertise and try to acquire new customers. And then I think with those factors and then with the new delta variant coming on and the uncertainty related to that, I'll say again that it's very hard to predict for our travel business how it's going to come back but we're also -- that we're very happy with the position that we're in, in that vertical with the team that we have in that vertical and we'll be ready when the market does come back.
Meyer Shields: Okay, perfect. Thank you so much.
Steven Yi: Thanks Meyer.
Operator: [Operator Instructions] Our last question comes from the line of Daniel Grosslight from Citi. Your line is open.
Daniel Grosslight: Hi, guys, and thanks for taking the question. We continue to see a movement to the private market. I think at this point last year, around 30% of transaction value was in the private market and this year it's around 41%. Just curious, if we should think about that private market as growing in total share of transaction value, I know 4Q is probably more weighted towards health, which is more open market. But just going forward is the trend towards more private market transaction? And as smaller supply partners come online, are they increasingly going to the private market? Or are they sticking with open market?
Steven Yi: Hey, Daniel it's Steve. Let me take the first crack at that question, which is -- I mean you pointed out all the right things. The growth from smaller or newer supply partners as well as smaller and newer demand partners, i.e. a lot of traditional agency writers who are now really jumping into direct customer acquisition for the first time, we do expect to see more growth in our ecosystem coming from those types of partners. And to your question, those types of partners are the ones who are seller exchange product, which is what we call our private marketplace product but is not meant for that, sorry, I should have said it differently. The private marketplace product is not really meant for those small medium-sized or newer demand and supply partners. It's really ideally suited for larger supply partners who want to with some of their very largest demand partners directly. So just in the nature of how I described that right this is why we don't focus on this metric much because in any given quarter there's a large supply partner who will start to work directly with one or two large insurance carriers, I mean this could impact the metric pretty meaningfully in any given month or quarter And then in addition to that, our supply partnership team obviously is constantly working to bring on new supply partnership. And if we get a large supply partnership and that large supply partner is one that ideally is suited for the seller exchange product, we want to best service that partner really without any consideration for the transaction value to revenue mix or the open exchange to seller exchange mix. And this is all the reasons behind why we just really focus on transaction value and don't worry about this mix much. But to really loop around to your question, we still think that the equilibrium point is somewhere below where we are now, right? And so -- but again in the near term, we could see this fluctuate in one direction or another.
Daniel Grosslight: Okay. That's helpful. And as I look at your guidance for what's implied for 4Q, it's a pretty big step up in both transaction value and revenue in a sequential basis from 3Q. Is that mostly due to AEP for Medicare? Or are there other things that are driving that sequential increase in 4Q?
Tigran Sinanyan: Daniel, I think you've got that story right, which is, in Q4, right, we expect a seasonal mix shift with the growth of the health and Medicare business due to OEP and AEP that's concentrated in Q4 really over a couple of months. And those verticals tend to be higher open marketplace transaction value because our owned and operated websites are a larger component of the mix. And so, it's really the seasonality pattern that we expect from here out that's driving that step-up that you're seeing in terms of transaction value revenue and revenue as a percentage of transaction value. Because O&O is a component there, it tends to be higher margin as well from a contribution perspective. So that trend really flows down through from transaction value revenue contribution into EBITDA. We saw this last year as well, right in Q4. The impact was a little more muted because if you remember, we had outsized investment allocations in Q4 last year in P&C. We don't have visibility yet into those types of allocations of budget. So, what's reflected today is a return to that normalized seasonality pattern that we'd expect from Q3 to Q4.
Daniel Grosslight: Very helpful. Thanks guys.
Tigran Sinanyan: Thanks, Daniel.
Operator: There are no further questions at this time. This concludes today's conference call. Thank you for participating. You may now disconnect.